Operator: Good morning. My name is Kim and I will be your conference operator today. At this time, I would like to welcome everyone to the RenaissanceRe Third Quarter 2017 Financial Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question and answer session. [Operator Instructions] Thank you. Peter Hill, you may begin your conference.
Peter Hill: Good morning and thank you for joining our third quarter 2017 financial results conference call. Yesterday, after the market closed, we issued our quarterly release. If you didn’t receive a copy, please call me at 212-521-4800 and we’ll make sure to provide you with one. There will be an audio replay of the call available from about 1:00 PM Eastern Time today through midnight on December 1. The replay can be accessed by dialing 855-859-2056 or +1404-537-3406. The passcode you will need for both numbers is 18690169. Today’s call is also available through the Investor Information section of www.renre.com and will be archived on RenaissanceRe’s website through midnight on January 9. Before we begin, I’m obliged to caution that today’s discussion may contain forward-looking statements and actual results may differ materially from those discussed. Additional information regarding the factors shaping these outcomes can be found in RenaissanceRe’s SEC filings to which we direct you. With us to discuss today’s results are Kevin O’Donnell, President and Chief Executive Officer; and Bob Qutub, Executive Vice President and Chief Financial Officer. I would now like to turn the call over to Kevin. Kevin?
Kevin O’Donnell: Thanks, Peter, and thank you all for joining today’s call. Last night, we released third quarter earnings. As you know, it was a busy quarter, resulting in a reduction in book value of a 11.6% and a reduction in our tangible book value per share plus accumulated dividends of 12%. This quarter, although difficult, was not surprising and validates both our view of risk and our long-term strategy. The driver of our performance was of course the multiple catastrophic events occurring in the third quarter, namely Hurricanes Harvey, Irma and Maria and the Mexico City earthquakes. Before moving on to a discussion of the quarter, I would like to extend my deepest sympathies to everyone affected by the Q3 large loss events. In Mexico, the U.S. and especially in the Caribbean, life is still not returned to normal for many. And it is our hope that a significant number of claims we have already paid goes a little way towards speeding recovery. I’ll discuss the Q3 large loss events and their impact on RenaissanceRe in greater detail after Bob speaks. But first I would like to address our gross-to-net strategy, the role of retro markets and the increased cost of risk capital. Our gross-to-net strategy was tested by the Q3 large loss events and performed well. We preannounced a net negative impact of $625 million for the Q3 large loss events. As you saw in our earnings release, we now think that number will be closer to $615 million. our gross position on these events, however, is about $2.2 billion. This means, that an excess of two-thirds of our gross losses have effectively been ceded to retrocessionaires shared with third-party capital are offset by reinstatement premiums. In addition to preserving our capital, this strategy was highly efficient costing us only 50% of our premium, 20% of the expected profit on the associated business. Even after significant recoveries, however, we still have abundant retro capacity remaining in our program and we continue to offer substantial capacity to clients. The retro markets and especially the collateralized markets have absorbed a large share of the Q3 large loss events, and a material portion of their capital will have to be impaired or locked up. The ability of some of these funds to recapitalize and trade forward will be heavily dependent on rate. Investors experiencing large losses will need material price increases before they agree to reinvest. This could cause disruption in January 1, when roughly three quarters of the retro market renews. This is not the problem from our perspective as our demand for retro is highly elastic. Using our integrated system, we’re able to source the most efficient capital available, sometimes that is our own, sometimes it’s third-party and sometimes it’s retro. We’ve been a large seller of retro in the past. And if the retro market hardened sufficiently, we will happily transition from a buyer to a seller in the future. While the cost of retro is increasing, our weighted average cost of capital is decreasing. Over the last several years, we have taken advantage of record-low interest rates to replace high-cost debt and preferred shares at a lower cost. This gives us the option to put more of our own capital at risk, if we were paid sufficiently to do so. Another reason we aren’t as exposed to the traditional retro market is that, we have many long-term aligned partners. When we need to augment our own capital, I think of the potential sources is falling into two categories, short-term trades and long-term partners. Around 75% of our ceded premium is with our long-term partners. This is capacity, we can count on being there year-after-year, because we stand alongside it on both the profits and the losses. Having this long-term capacity has allowed us to grow over time and provides us flexibility when market opportunities arise. I have been saying for years, that in many lines of business rates have reached on sustainably low levels. This was fueled in part by the extended drought in large catastrophic events, especially in the U.S. That drought is now over. It appears as if 2017 could be the third-year having more than $100 billion of insured losses over the previous 2015. To put this in perspective, the worldwide annual expected insured catastrophic losses between $50 billion and $60 billion. Eight of the last 17 years, however, have come in under $40 billion. Even on a trended basis with three under $20 billion. So there’s a significant amount of variance in the results and when the low last year’s cluster, this can be confused for a lack of volatility. Years like 2017 are not outliers. However, there is a far more volatility in our sector than many appreciate. We expect to have industry loss similar to 2017, at least, every 10 years. And as a sector, we haven’t been paid to this volatility for too long now. Making matters worse, low prices in property cat have affected almost every other line in the P&C Industry, with companies writing diversifying business to help offset property cat rate decreases. The cost of risk capital needs to go up and its impact will reach beyond loss affected property deals. This quarter was a needed reminder that ours is a volatile business and the vendor models cannot substitute for good underwriting. Allocators of capital are better positioned to be able to determine, which underwriters were skillful and which were not and return expectations should adjust accordingly. Looking ahead, we are hopeful that 2018 will provide greater opportunities than 2017. We are optimistic about our prospects for profitable growth and our preferential position in the market. With both rated and collateralized balance sheets and unequaled access to efficient capital, we are ready and willing to trade forward to January 1, across all our platforms in the form our customers desire. With that, I’ll turn the call over to Bob for a look at our financials, and I’ll come back on and share a bit more on our business performance before we open it up for questions. Bob?
Robert Qutub: Thanks, Kevin, and good morning, everyone. As Kevin noted in his opening remarks, the Q3 large loss events caused significant damage throughout the affected regions and continue to present wide-scale humanitarian challenges. From an insured loss perspective, these events combined to produce the largest single quarter loss in RenaissanceRe’s 24-year history. We recorded a net negative impact to our consolidated financial results of $615 million in the third quarter of 2017. Recall that net negative impact includes the sum of estimates of net claims and claim expenses incurred, earned reinstatement premiums assumed and ceded, lost and earned profit commissions and redeemable noncontrolling interests. Included in the net negative impact for the quarter was $534 million associated with Hurricanes Harvey, Irma and Maria and the Mexico City earthquake. It also included $81 million associated with aggregate loss contracts or cumulative losses under the respective contracts reached the retention points during the quarter. In an effort to provide transparent disclosures, we included aggregate losses in our net negative impact figure for the quarter, as they were meaningful to our results. Our best estimate of losses from the large cat events in the third quarter would be largely responsible for triggering losses under these aggregate contracts. However, the aggregate losses in and of themselves are not necessarily attributable to a specific event in a traditional sense. There remains meaningful uncertainly with respect to our estimate of losses from the large cat events and the aggregate loss contracts, given the limit features and the impact of our retro book. At this time, I’d like to highlight a few metrics or give you an overview of our financial performance for the quarter. I’ll then provide some additional detail of our segment results, our investment portfolio and capital activities before I turn it back over to Kevin. For the quarter ended September 30, 2017, we reported a net loss of $505 million, or $12.75 per diluted common share, and an operating loss of $547 million, or $13.81 per diluted common share. On a year-to-date basis, we reported an annualized ROE of negative 7.4% and an annualized operating ROE of negative 11.7%. During the quarter, our book value per share decreased 11.6% and our tangible book value per share including accumulated dividends decreased by 12%. On a year-to-date basis, our book value decreased by 7.8% and our tangible book value per share including accumulated dividends decreased by 7.3%. For additional details of our quarterly and year-to-date results, I would refer you to our earnings release and financial supplement, which we issued last night and can be found on our website. Let me now shift to our segment results, beginning with the property segment, followed by Casualty and Specialty. Within our Property segment, gross written premiums were up 171% for the third quarter of 2017 compared to the third quarter of 2016 and included $165 million of reinstatement premiums associated with the large events. Excluding the impact of reinstatement premiums written in 2017, our Property segment gross premiums written would still have increased 34%, with our other property class of business up 64%, and our catastrophe class of business up 14%. The increase in our other property class of business was mainly due to increased participation on a select number of deals and certain new transactions we found attractive. Our catastrophe line of business typically does not see major renewals during the third quarter, but we were able to grow the book slightly, including some backup coverage, while exercising underwriting discipline, given prevailing market terms and conditions. Our Property segment incurred an underwriting loss of $750 million and a combined ratio of 323%, compared to underwriting income of $103 million and a combined ratio of 40% in the comparative quarter. The underwriting results in our Property segment were dominated by the impact of the Q3 large loss events. These combined for $809 million in underwriting losses and added 252 points to the combined ratio in our Property segment. Overall, our Property segment performed as expected, following the occurrence of the large catastrophe events in the quarter. We continue to believe, we have the right people, systems and strategy to execute through market cycles. Moving on to our Casualty and Specialty segment, where on the third quarter of 2017, gross premiums written were up 1% relative to the third quarter of 2016. We were able to selectively grow new and existing business within certain casualty lines of business. Mostly offsetting this increase was a decrease in gross premiums written in our financial lines of business, primarily the result of a large in-force multi-year mortgage reinsurance contract written in the third quarter of 2016 that did not reoccur in the current quarter. With the growth we’ve experienced to-date in the top line, we continue to execute on our gross-to-net strategy, having ceded down 32% of our Casualty and Specialty premiums given current market conditions. The Casualty and Specialty segment incurred an underwriting loss of $43 million in a combined ratio of 120% in the third quarter of 2017, compared to underwriting income of $9 million in a combined ratio of 95% in the comparative quarter. A key driver of these results was the impact of Hurricanes Harvey, Irma, and Maria and Mexico City earthquake, which drove the current accident year underwriting results in our Casualty and Specialty segment. Positively impacting the Casualty and Specialty segment, combined ratio during the quarter was a 7-point decrease in the underwriting expense ratio. Net premiums earned in the Casualty and Specialty segment during the quarter were up $37 million and underwriting expenses were relatively flat. As we continue to leverage our existing expense base, while selectively growing this book of business. It’s important to note that the following quarter that saw a – the return of a number of significant loss events, we continue to evaluate our reserves for developing trends and remain comfortable with our processes and overall reserve adequacy. Turning to investments. In the third quarter, we recorded total investment result of $82 million, generating an annualized total return on our investment portfolio of 3.4%. Included in this result was net realized and unrealized gains on investments of $42 million and net investment income of $40 million. Our equity portfolio continued to perform well during the quarter, generating both realized and unrealized gained, as markets delivered positive returns. Our net investment income was comprised mainly from our fixed maturity securities and benefited from higher average invested assets, modest increases in interest rates and a tightening of credit spreads during the quarter. Net investment income for the quarter also included some unrealized losses in our cat bond portfolio, which is impacted by the events in the third quarter. Our investment portfolio remains conservative with respect to interest rate, credit and duration risk, with 89% allocated to fixed maturity and short-term investments with a high degree of liquidity and modest credit exposure. The duration of our investment portfolio was 2.6 years and the yield to maturity on the fixed income and short-term investments was 2.2% at September 30, 2017, or less flat compared to the end of last quarter. Our strategic investment portfolio managed by our ventures unit, again, produced positive returns overall for us, and we continue to be satisfied with the long-term fundamentals of the companies we own. Now turning to our capital management activities during the quarter. Following a string of significant cat events, it is a testament to our capital management strategy that our balance sheet remains liquid and our capital position remains strong. Our access to capital also gives us the flexibility to pursue strategic investments in capital management activity as they may arise. Our ventures team continues to actively build relationships with high-quality, long-term investors, as well as looking for new strategic transactions that can enhance our underwriting franchise. Overall, our capital management actions reflect a quickly evolving market and we believe we have developed a unique agility to deploy capital where it is needed most. Once again, our trusted long-term investment partners and our joint venture vehicles supported our efforts. They recognize the leadership we bring to the property cat expose market and immediately stepped up with an additional capital deploy. For example, we quickly and efficiently raised $250 million of new equity capital in DaVinci from third-party investors and Upsilon received additional funds to support its core customers. On the share repurchase front, prior to the arrival of Hurricane Harvey, we were active in the market for our common shares, repurchasing $39 million during the quarter, which brings our total year-to-date purchases of $100 million to $1889 million. Our approach to capital management has not changed. With the potential for improved pricing conditions in many of the markets we serve, we will first and foremost look to deploy capital into underwriting and business opportunities that may meet our risk return hurdles. At this time, I would like to mention that commencing with our first quarter 2008 financial supplement, we will no longer separately disclose the underwriting results of our Lloyds platform. We manage our business at a segment level and with the results of our Lloyds platform getting picked up in our Property and Casualty and Specialty segments as appropriate. As such, we will continue to provide what we feel is appropriate transparency into our segment results and associated market commentary on our earnings call. From a disclosure perspective, this brings Lloyds in line with other locations and underwriting platforms across our organization. And finally, before turning the call back to Kevin, I would like to extend our deepest sympathies to all those affected by the devastating California wildfires. They have resulted in loss of life and caused significant damage throughout major portions of the state. It is still very early days for this loss. With initial industry loss estimates ranging anywhere from $2 billion to $3 billion to $6 billion to $8 billion, and potentially higher. As we work through our initial assessment, our early expectation is that, given the complexity of these events, the industry losses will come in closer to the higher-end of public industry loss estimates. There’s significant uncertainty with respect to the nature and magnitude of these losses, and we will continue to monitor information from clients, industry participants and other sources as it becomes available. And with that, I’d like to turn the call back to Kevin.
Kevin O’Donnell: Thanks, Bob. I’ll divide my comments starting with Property then Casualty and then we’ll open it up for questions. We’ve broke another hurricane drought in the third quarter, this time in U.S. land falling major hurricanes. The last time – the last year a major hurricane made landfall in the U.S. was in 2005 with Wilma, this year we had three, Harvey, Irma and Maria. We also had several large earthquakes including in Mexico City. Multiple hurricane records fell in the third quarter such as experiencing 53 named storm days. In addition, and while not a record, there were five major hurricanes including four that reached Category 4 or 5 strength. This season was driven by warm waters and low wind shear and otherwise near perfect conditions for storm formation. As is typically the case, each of these storms had very different characteristics, hit different risks in different geographies and will develop very differently. Unlike more concentrated losses such as the 2004 Florida hurricanes, the Q3 large loss events will affect a broad swap of the industry and consequently will have wide ranging impacts on market conditions, affecting primary reinsurance and retro both in the U.S. and internationally. Starting with Harvey, which made landfall in Texas on August 25th as a Category 4 storm. This was really more of a flood than a wind event. While its wind field is relatively small, Harvey dumped up to a record 50 plus inches of rain over a broad expanse of Houston. To put this rainfall in perspective, over 25 trillion gallons of water fell in Texas and Louisiana which is enough to fill the Chesapeake Bay. Harvey looks to be about a $30 billion industry loss which is around a 20 to 30 year return period for the Gulf region. Even though Harvey is predominantly a flood event, the private market is exposed on both the residential and commercial side, including a significant auto loss. So while this loss primarily affects our property cat book, it will all affect our other Property and Casualty businesses. Next up was hurricane Irma which made landfall on September 10 in the Florida Keys as a Category 4 storm. Then made a second landfall over Marco Island as a Category 3 storm. If Irma had tracked a handful of miles north it would have not weekend over Cuba, in all likelihood it then would have made landfall on the heavily populated East Coast of South Florida as a Cat 5, rather than over the Everglades as a Cat 3. This would have been a true one in a 100 event with the potential to cause more than $100 billion in loss. Irma looks to be about $25 billion industry loss which is around a 20 to 30 year return period for the Southeast U.S. Irma is predominantly a wind event even though there was a significant flooding. Average claim severity outside of the Florida Keys appears to be relatively low and in many cases is coming in under applicable hurricane deductibles. Finally, as least as far as hurricanes in the third quarter go was Hurricane Maria which made landfall in Puerto Rico on September 20th as a strong Category 4 storm. Maria looks to be at least a $35 billion industry loss which is 100 plus year return period for Puerto Rico. While Puerto Rico is located in the Caribbean, as a U.S. territory it will impact the U.S. reinsurance dollars of many large U.S. insurance companies. Due to infrastructure issues we expect that Maria losses will take longer than average to fully develop. I often say that our value proposition extends beyond price and we had another opportunity to demonstrate that again this quarter. As each of the quarters hurricanes was developing, our underwriters along with our team of scientists had weather predict closely monitored the storm, its potential for strengthening and the most likely track it would take. Throughout this process we made sure to reach out to those of our clients and brokers most likely to be affected. After the event, in addition to rapidly prepaying claims, we were able to provide core clients footprints of their portfolios run against our proprietary industry database. The speed and skill of our people and our systems post event is testament to our decades of experience in responding to events just like these. Third quarter also experienced several large earthquakes including Mexico City. This loss does not appear to be as destructive as originally thought. That said earthquake losses are very long tail in nature and it’s not uncommon to have significant development over an extended period. We will be monitoring both Texas and Florida closely for signs of assignment of benefits issues and other adjuster fraud. Today there’s been little indication that this has occurred, but there is still opportunity for fraud to begin to creep in later in the process. Insurance companies are acutely aware of this problem however and are taking steps to identify and minimize fraudulent claims. We also saw a significant demands surge around adjuster fees. Due to the short time span between Harvey and Irma, there was intense competition for loss adjusters, driving up the fees insurance companies need to pay for their services. While not a big driver of loss it will result in increased loss adjustment expenses. I would like to briefly address how our independent view of risk incorporates the commercially available catastrophe models and our expectations around the frequency of Q3 large loss events. We spent considerable time in resources understanding the strengths and weaknesses of the vendor models, consequently all of the third-quarter events were within our expectations. These were not extreme tail events. For example, in Harvey, we recognize the potential for significant flood losses and that this potential is not always sufficiently captured in the models. In Maria, we understood the vulnerability Puerto Rico faced to major hurricanes and while more of a tail event, this loss was not surprising. This approach is consistent with our aspiration to be the best underwriter as we believe that being so results in superior shareholder value. In our Casualty segment, gross premiums written were relatively flat quarter-on-quarter, but we experienced strong net premium earned growth of 21% as our mortgage book continues to earn through. We improved operating leverage in Casualty again this quarter with our operating expense ratio down about 1 percentage point. While Casualty segment also experienced losses from the Q3 large loss events, although to a lesser extent than our Property segment and this loss is primarily affected by marine and energy books. Overall, I’m pleased with the portfolio we’ve built in this segment. I take a long-term view on the Casualty business and recognize its benefits toward maximizing shareholder value. As you know margins on this business have been compressing and the team is working hard to build attractive positions focused on long-term value. Similar to our gross-to-net strategy in Property, we cede one-third of our gross premiums on this book which gives upfront carpet to limit downside. This quarter saw the benefit of this strategy as we enjoyed significant retro recoveries, especially in marine. We’ve been keeping a close eye on loss trends in the Casualty space. For example we’ve been underweighted commercial auto and overweight financial risk, which is consistent with our strategy of constructing a portfolio that is more attractive than the market average. Going forward, in addition to the business affected by the Q3 large loss events, we anticipate that some of the more challenging areas of the market will adjust and the positive trend in certain casualty lines will accelerate. Casualty is a key aspect of our value proposition to our customers who we believe want to reinsurer who makes a credible commitment to cover a wide range of their risks over reasonably long time periods at consistent exposure-based prices. Being able to provide a suite of products beyond property cat is essential to this value proposition. Over the long-term, I believe this business is accretive to shareholder value. Our ventures unit continues to contribute both to our broader results and to our ability to execute our gross-to-net strategy. Once again, for example the strategic investments managed by our ventures unit had positive returns this quarter. As Bob noted, we raised capital on our DV vehicle at October 1st, so DaVinci is fully funded and ready to renew existing business and to grow if opportunities present. Also at October 1st we were able to raise additional funds in our Upsilon joint venture to support an attractive deal with a core customer. We’re also ready to trade forward in Upsilon and to the extent there are attractive opportunities at January 1st, we will be in a position to transact. The key aspect of our consistent aligned approach with our joint venture partners appreciate is that they will have the opportunity to benefit alongside us in any market opportunities in 2018. We currently have multiple offers to bring in new capital, but we will remain aligned with our long-term partners. The third quarter was a great opportunity to demonstrate to our customers that our value proposition extends beyond price and includes many value-added services both before and after large events. At January 1st our customers will also realize the value of trading forward with a long-term trusted partner with unsuppressed access to efficient capital. In 2018 our hope is that rates will adjust to the point where equilibrium is achieved, not at too low, nor too high. Whatever the future, however, we have the platform, the people and the capabilities to continue our leadership in the industry. Thank you and with that I’ll turn it over for questions.
Operator: [Operator Instructions] Your first question comes from the line of Elyse Greenspan from Wells Fargo. Your line is open.
Elyse Greenspan: Hi, good morning. My first question, I appreciate all the color around on the hurricanes and kind of the outlook. But Kevin, what kind of price expectations do you have heading into the 1.1 renewals? And just how do you kind of see based on discussions with clients, the pricing environment shaping up?
Kevin O’Donnell: Thanks, Elyse. Firstly, in 2018 prices are going up. So I think, the comments I made about there being a broad swath of the industry affected. If you look at the insurers affected by Harvey, there’s a different pool of insurance affected by Irma, and then again, those affected by Maria are different. So as you move further away from loss affected layers, it’s always a little harder to predict what will change and how much price will shift. When I think about price changes, I worry less about the market and more about our strategy. And I look back just to – the way we positioned ourselves going into 2018. So I mentioned, we lowered our GAAP capital cost by refinancing our debt and our preferreds. So we’re coming in with a strong GAAP capital position. Our economic capital model, which is the model that our underwriters used to deploy capital were representing a higher cost of capital in our economic capital model. The reason for the difference is, because we’ve made different assumptions on the assumed – the ceded retro supporting that portfolio. In 2017, the cheapest capital we had in our economic capital model was the ceded purchasing that we did, and we believe that that is unlikely to be available in the same form in 2018. So that’s good news for us, because we have cheaper GAAP capital and we have higher expected margins. So the spread between the cost of our capital and the opportunities in the market is greater, which will ignore the benefit of our shareholders. So while I’m less concerned about the overall change in the market, I think, the change in market pricing will be reasonably broad. I think, we have better access than anyone else in the market. And we have unlimited and unrestricted access to efficient capital to bring to those opportunities.
Elyse Greenspan: Okay. And then as you say that, there’s a better margin outlook. Obviously, with your Casualty and Specialty business, the margins within that business have been in excess of a 100%. How do you think about potentially putting more capital towards your Property and specifically Property Cat business, and maybe shifting away from Casualty and Specialty business, if the catastrophe market does get a lot better?
Kevin O’Donnell: So I think, let me start just talking about casualty, then I’ll talk about the effect on capital. We’ve had a few glimmers of hope in the casualty market with some of our November 1 renewals, where we’re seeing increased underwriting discipline and thinking about the risk that’s being assumed. I believe that in the casualty space, we are not at a long-term sustainable margin. But I think about it over 10 years and in over 10 years, I believe, we will have sustainable margins. I think, there’s two areas that will be focused on for pricing in casualty as much of our book is proportional: One is encouraging primary companies to continue to accelerate the rate increases for their insurance books, which will nurture ourbenefit; and the second is thinking about whether the cedesare at appropriate long-term levels. I have reasonable confidence we’ll have some rate enhancement on the primary books. I think it will take a little longer for us to have clarity as to whether cedes will respond favorably to market pressures as well. With regard to writing more property or casualty, so if both are better, we will write more of each. Our cap – the capital allocation to our Casualty and Specialty business remains quite low, and it will continue to be low, particularly if we find more opportunity in property cat, as property cat drives the tail of the distributions. So on a marginal basis, our Casualty and Specialty returns still look quite good. And the more property we write creates more room for Casualty and Specialty from a capital allocation perspective. So I think, standalone returns look better for both property and we’re optimistic about Casualty and Specialty. And I think, from a capital allocation perspective, we’re in a very strong position.
Elyse Greenspan: Okay, great. And then will you guys surprise that within your cat funds on the invest – in your investment portfolio when we lost about 5% in the quarter?
Robert Qutub:
.:
Elyse Greenspan: Okay, great. And then one last question, Kevin, you did give the growth versus net losses for RenRe for the quarter. How much of the cede was the third-party versus traditional market?
Kevin O’Donnell: You’re talking, I mean, how much of it’s collateralized recovery?
Elyse Greenspan: Yes.
Kevin O’Donnell: I think, it is roughly about $0.5 billion of collateralized recovery against, I think, it’s $1.2 billion of total recovery ballpark.
Robert Qutub: Incremental right.
Elyse Greenspan: Okay. Thank you very much.
Kevin O’Donnell: Yes. Thank you.
Operator: Your next question comes from the line of Kai Pan from Morgan Stanley. Your line is open.
Kai Pan: Thank you, and good morning.
Kevin O’Donnell: Good morning.
Kai Pan: So the first question on return to capital market that DaVinci lost about $223 million and you’ve raised more than that. So that should show you the readily available alternative capital out there. So would that impact the magnitude and duration of potential price increases. I just wonder when you discuss with your capital provider for the reloading, what kind of pricing expectation that you would deploy that capital?
Kevin O’Donnell: Do you want to talk about that?
Robert Qutub: One thing just for clarification kind of in the supplemental, the actual loss for DaVinci that was close as 255. 223, you’re referring to is the noncontrolling interest on the investors, just for clarification, it’s on page seven so.
Kevin O’Donnell: Yes. So kind of in layman’s terms, we capped DaVinci the same size effectively facing the market. I think about the capital raise in DaVinci kind of as business is usual to be honest, where our normal process is at the end of the year with dividend back to the investors, the earnings. And then when there’s an event, we put a capital call out to refund the balance sheet back to the levels it was prior to the events. So I think from that perspective, we think DaVinci has good opportunities going into year-end. But we are – it’s a slightly different type of vehicle. So we’re not doing a traditional capital raise as one would expect with some of the more traditional collateralized funds. This is people who’ve been with us for a long time as part of our normal process of managing capital.
Kai Pan: And I’m just wondering, is that show a sign of broader appetite for risk still from the alternative capital markets?
Kevin O’Donnell: So we consider DaVinci effectively to be closed. So we have – we do have substantial interest in investors trying to get into DaVinci, but we have that last year as well. So I think the appetite that investors have to cede, to take, to share in our underwritten risk is high for 2018, but to be honest, it was very high for 2017 as well.
Kai Pan: Okay. And then your gross-to-net strategy, you have like two-third of your gross like to recover from the retro market. I just wonder given the potential rising costs of the retro, would you be able to maintain your gross exposure or grow that?
Kevin O’Donnell: That’s a great question. Yes, absolutely, to maintain our gross exposure, we like the gross book that we wrote. The – we like the net book more. So we used the retro to enhance and optimize the portfolio. As I mentioned in my comments, I think, there would be – as a split between the retro that we purchase of the risk that we share is probably more accurate way to think about it. We’re about 70% of the risk that we share is, what I consider to be long-term partners, 30% is more of a trading account. We have perfect elasticity as to whether we renew the trading account and it will be very much price dependent. The 70% that I consider to be partner capital is capital that will participate in a better market in 2018 just alongside us like they did in 2017. So we are not subjected to the same client-facing swings from retro as others, because we build our book to make sure that we have a consistent customer-facing appetite and manage our net risk through partner capital and trading capital.
Kai Pan: Great. And last one, if I may is on your underlying loss ratio in the Property segment. So it looks like you increased a lot year-over-year. I’m just wondering if there are particular sort of like non-cat large losses, which is not including in your disclosure?
Kevin O’Donnell: I think of our – I think, you’re referring specifically to other property within our Property segment. And I think, it’s – we provide other property as a break out in the Property segment, because we have a nutritional reserving component to that, which would be difficult to extract from a property cat only representation. But if the other property and the property cat are highly linked, where much of the other property capacity that’s put out is in conjunction with property cat lines that are written. So when I look at the performance of that book, I actually look at it from a property segment perspective and I’m less worried about the allegation of the loss ratio between other property and property cat.
Kai Pan: Okay, great, well thank you so much.
Kevin O’Donnell: Yes, thank you Kai.
Operator: Your next question comes from the line of Amit Kumar from Buckingham. Your line is open.
Amit Kumar: Thanks and Good morning, I like that name better. Just going back to the discussion on capital management. Obviously you’ll opine that you look at the market conditions and then revisit and you were buying that before HIM. Based on the different renewal cycles, I guess 1/1, 4/1, 6/1 et cetera, are we thinking of revisiting the capital management discussions later in 2018 or would you be able to sort of come up with a thought process after the 1/1 renewal?
Robert Qutub: There is couple of parts to that question. Let me start off with the comments in my prepared text were, as you pointed out, we are looking to deploy capital here in the fourth quarter as opposed to returning capital. And so we feel comfortable about our balance sheets being fully capitalized and taking advantage of the opportunity. Regarding 2018 and returning capital, I think really it’s what those opportunities early on in 2018 present themselves for opportunities to deploy capital. We can then look later on in 2018 and what our decisions will be then. The second question is really – the second part of your question is really in the context of how will that – what will the parity be between the returning capital and the rate increases and there is a relationship there.
Kevin O’Donnell: I think our normal process is highly integrated between our underwriting and our capital management, so you had mentioned the 1/1, 4/1, and 6/1 renewals, we’ve already recreated our portfolios for the full expectation of price change for 2018 and that gets periodically revisited, adjusting it upward or downward based on the assumptions we had prior to each major renewal. That will ultimately inform whether we are allocating more capital to the business or potentially looking to purchases shares back.
Amit Kumar: The second question I had was, obviously you probably sounded a bit more optimistic on the pricing equation than what I would’ve thought based on the industry losses or percent of total capital. I’m curious, did you have a view on the overall industry losses sort of drifting upwards down as time progresses. I think a lot of us here are somewhat scratching our head and trying to figure out the missing portion of the losses and I know that some of it is going into the alternative market, but even when you look at the math it seems that based on what we know today, the numbers are still not getting there, so I was curious if you had an opinion on that?
Kevin O’Donnell: I shared your confusion at kind of the highest level is to the disappearing nature of these losses. The thing I would say is, if you look at our gross loss of the roughly $2.2 billion, between what we prepaid and what’s been recorded, we are at about 10%. So there’s a lot of latitude as to how one believes they’ve been impacted by these events. So the fact that we’re at relatively low levels compared to what I believe will be close to $100 billion isn’t why it will be surprising often in the periods shortly after a loss there is a wide gap and it tends to close over time, but it does seem as if the gap is a little bit – potentially a little bit bigger. I think you touched an important component here though is, there is usually a question as to what’s the market opportunity, but going into 2018 there is a big question as to how much capital is going to be there to support it. I think from the rated capital perspective, most rated carriers are on very solid footing going into 2018 and the lack of transparency as to how much capital is impaired, how much capital is locked up from the collateral markets is adding uncertainty to the overall loss estimate for the combined events and also for the supply and demand dynamics going into 2018.
Amit Kumar: Fair point. And then a final question, I know there were some questions already on the casualty book. And I know I have asked this before, in retrospect do you think the Platinum acquisition is achieving what you would’ve thought you would achieve on day one or has it taken longer to get to the point what you would have outlined in your initial plans?
Kevin O’Donnell: We put out a list of objectives when we purchased Platinum and I feel that we’ve made – we’ve achieved each of the goals that we outlined. So then I think the question that we set the bar too low for what we hope to achieve. I think when I look at where the company is and a lot of that is because of the benefit of us purchasing Platinum. I feel that we’re in a much stronger position going into 2018 because of our strong casualty platform that we would have been had we not executed on Platinum.
Amit Kumar: Fair point. I’ll stop here. Thanks for the answers and good luck for the future.
Kevin O’Donnell: Thank you.
Operator: Your next question comes from the line of Josh Shanker from Deutsche Bank. Your line is open.
Josh Shanker: Thank you. Forgot to get out of the queue, everyone asked my questions, but good luck in the New Year.
Kevin O’Donnell: Thanks Josh.
Robert Qutub: Thanks josh.
Operator: Your next question comes from the line of Brian Meredith from UBS. Your line is open.
Brian Meredith: Hi, a couple of questions here for you. First one, Kevin, I’m just curious, how much rate do you think you need on the property cat reinsurance business? Can it meaningfully increase your net exposure without the benefit of cheap retros out there that’s probably not going to be there going forward?
Kevin O’Donnell: I think that’s an iterative question. I think we will purchase retro, I look at 2017, we probably have more income statement protection than we did, than we will likely have in 2018, so it’s not that we won’t have any trading account retro, but we’ll structure differently. So I think again we’ll look at the spread between our cost of capital and what we are being paid for risk and make sure that’s adequate. If we are changing the way we are purchasing retro, I think a natural thing we’d ask is, well, for assuming more income statement volatility that must be in exchange for something and that will definitely be the exchange for higher ROE in 2018 because we’ll be taking – one, we’ll be taking more risk capital than exposing it; and two, we’ll be taking more income statement volatility because a lot of the retro we purchased in 2017 was down low.
Brian Meredith: Got you, okay and maybe better way of stating it is, how underpriced you think property cat reinsurance is right now, relative to your kind of cost of capital?
Kevin O’Donnell: So, again, it’s as a market or as our book, I don’t feel as our book is underpriced. Look at the way it’s going to be again how we structure the portfolio, so we’ll go in, we’ll continue to rerun our portfolios every night and make sure we understand how we’re using capital and on every marginal deal we understand whether we are enhancing or reducing not only our existing margin but the target margin we operate in.
Brian Meredith: Got you, okay that makes sense. And then I’m just curious, again you kind of mentioned you thought this was going to have implications outside of just the loss impacted areas if you look back at the KRW and what happened in 2011 that didn’t happen, so why different this time?
Kevin O’Donnell: Two things I’ll say. One is, the cat market tends to react more to U.S. events than non-U.S. events, that’s just the nature of the beast. But actually more importantly if you go back to 2011 rates were frankly much higher and there was less need for rate enhancements than there is in 2017 where we’ve had several years of rate declines. So I think there is just more of recognition that it’s been a buyers’ market. And at least in the conversations we’re having with our clients, we’re fighting them receptive to the fact that we need to come to an equilibrium, we’re not looking to push prices too high, we’re getting to a point where margins are at a better balance between the buyer and the seller.
Brian Meredith: Right, would KRW be a better kind of parallel here, as rates were very cheap for them?
Kevin O’Donnell: Yes and we did actually see a quite a bit of movement in KRW. I think…
Brian Meredith: But not outside the U.S.?
Kevin O’Donnell: Correct. So as I said in my comments, I think as you move further from loss affected layers, it is more difficult to predict the rate change. I think in looking at our international footprint on the primary reinsurance for cat is pretty low at this point because rates have gotten to a point where there’s not much business that is fitting within our attractive return profile. So I think we’ve got upside there. I’m not sure even with reasonable rate changes, it’s going to retract us to write a bunch more international. Most of the international risk that we’ve taken over the last several years has come from our retro account. And I do think retro rates will move pretty substantially, both internationally and U.S.
Brian Meredith: Makes a lot of sense. And one other quick one here, so the California wildfires, is that going to be one event or multiple events for reinsurers?
Kevin O’Donnell: That’s a question that is probably going to be figured out in the near-term. I think, it’s pretty complicated. There are wordings about the – like consensus about how to connect discrete fires to determine whether they’re single event or multiple events. There – as we’ve seen before, for retro, it’s probably one event. For insurance or reinsurance, it’s going to take sometime to figure it out. I think that loss is pretty complicated generally just to give some color on it. It’s easy to see the homes that have been totally destructive. But increasingly, we’re hearing reports of soil contamination and the remediation of that, I mean, how that’s going to be handled, could be additive to the cost. And then also, the toxicity of the smoke damage to adjacent buildings is becoming more of a topic of our insurers as to how they’re thinking about remediating those losses. So there’s uncertainty of that. And then finally, there’s a role potentially to be played by the utilities as to whether they are deemed to have been a source of ignition, and that can increase the casualty component of this loss, but also through segregation potentially lower the property component. So I think, we’re monitoring all these things and trying to determine how it’s ultimately going to play out. But there’s still much to be answered about how this will play through.
Brian Meredith: Great. Thank you.
Kevin O’Donnell: Sure.
Operator: Your next question comes from the line of Jay Cohen from Bank of America. Your line is open.
Jay Cohen: Yes, couple of questions. Some of the backup coverage that you wrote in the third quarter, are those annual policies, or they for a shorter duration?
Kevin O’Donnell: The more substantial ones – the meaningful ones were short duration.
Jay Cohen: So we should think about sort of the next year third quarter being other than the reinstatement, kind of a tough comp from a premium standpoint, just from a modeling aspect?
Kevin O’Donnell: I think, that’s accurate. Unless we have a third quarter, it looks like 2017.
Jay Cohen: Let’s hope not. Second question, expense ratio. I assume some of the lower expense ratio was due to lower bonus accruals?
Robert Qutub: No, our expense ratio, look at the operation, I mean, the acquisition is – the acquisition ratios are growing with the business. But on the operational expenses two factors over time that have been driving that down: One, in 2016, you can see we’ve really effectively integrated Platinum, so that doesn’t exist on a comparative basis; and the other element of what drop cost from like 140 – high 140s to low 130s was just our focus on cost, and trying to leverage the platform that we talked about, and you saw that most notably in the Casualty and Specialty. The corporate costs, last quarter, I think the question was asked, what’s the burn rate there four to five, and that’s what we printed again four to five on our corporate costs this quarter, which were down from one-time events last year.
Jay Cohen: So you didn’t change your bonus accruals in the third quarter because of these losses?
Robert Qutub: I think the bonus accruals are going to be determined at the end of the year in the fourth quarter.
Jay Cohen: Okay, that’s helpful. And then last question, debt-to-capital, I guess, debt plus preferred to capital, do you have a target for that number?
Robert Qutub: Right now, we feel very comfortable that, what I said earlier in my comments was that, our balance sheets are fully funded and we’re ready to deploy capital into the coming year. Where we see more opportunities, we have access to capital if we needed those opportunities proved even more significant.
Jay Cohen: So that’s not a constrain at this point?
Robert Qutub: No, no.
Jay Cohen: Okay. Thanks.
Kevin O’Donnell: Thank you.
Operator: Your next question comes from the line of Meyer Shields from KBW. Your line is open.
Meyer Shields: Thanks. Kevin, when you were talking about your economic capital costs, you mentioned that cost of retro is going up and that’s not inconsistent with what we’ve heard from other participants. Was the retro market underpriced last year, or is there a new assessment of risk?
Kevin O’Donnell: So the comment I made is, we ceded 20% of our expected profit and 50% of our premium. So I think, one can make a determination. They may have a very different capital model than we do, but that was not retro, we would have written for ourselves. I think, from a – looking into 2018, Meyer, I think, what we purchased in 2017, we’ll not inform what we purchase in 2018. So I don’t look at us as having a series of renewals coming up to the trading account that will look to construct the portfolio on a gross basis and optimize it with the ceded opportunities that we have that – we either do or do not have. So I think, it’s from year-to-year, it’s less than an important comparison than it is in certain other lines of business.
Meyer Shields: Do you mean from your perspective, not the market overall?
Kevin O’Donnell: From our perspective, correct. I think, there are a fair number or others potentially rely on retro to write their gross book. We’re happy to write our gross look and rely on that trading account retro to optimize that.
Meyer Shields: Okay, that makes sense. The second, I guess, smaller point, you talked about demand surge for claimed adjusters, I guess, particularly following Irma. Is there demand surge in actual like material costs or anything like that?
Kevin O’Donnell: I think, less so than in other events, I think when you see something like more substantial damage in broad widespread severe damage is going to be more demands surge. So I honestly, I really think about Harvey and Irma for that. Puerto Rico, I think demand surge is going to be extraordinarily important element of the overall loss. The difficulty of getting materials there. The difficulty of moving materials around the lack of infrastructure, there’s a lot of things that I think put a negative SKU on how bad that loss can potentially get.
Meyer Shields: Okay, that’s helpful. And one last question if I can.
Kevin O’Donnell: Yes.
Meyer Shields: No, I think, okay. Thank you very much.
Kevin O’Donnell: Okay. Thanks, Meyer.
Robert Qutub: Thank you.
Operator: Your next question comes from the line of Ian Gutterman form Balyasny. Your line is open.
Ian Gutterman: Hi, thank you. Kevin, I guess, first, maybe I went back and looked at 2005 and 2011 and even Sandy and so forth. And typically, your market share on a gross basis what was low 1%, and this time on a gross basis, you’re low 2%. So it’s definitely a much bigger share than you normally take of a loss. Is there any story to that? Is it just hey Southeastern Caribbean wind of course would have more exposure than foreign quakes or something in the Northeast, or has there been sort of a change in sort of how you position the book post-Platinum, where customer more diversified and we have more retro, we can take a bigger gross share?
Kevin O’Donnell: Yes, I think we’ve never targeted to 1%, I know, it’s a bogie that’s used to kind of estimate losses for us from time-to-time. So there has been no structural shift in the way that we’ve composed the book. I think it is important that we do try to keep a consistent pace to the market and use retro to protect the net to optimize the portfolio. So that we’re not transferring the pricing in the capital uncertainty to the customer providing certainty there and then managing it on our balance sheet. So I don’t see as a shift in anything that we’ve done. I think, it’s frankly, probably just a unique set of outcome from a set of aggregate losses in a quarter. There’s nothing that I would point to say, there’s a structural shift in the way that we’ve built the portfolio.
Ian Gutterman: Perfect, I just want to make sure. So the aggregate covers, can you give us a sense of, if you were to see more gross development from the book – basically, we start to see sort of the gap between the disclosed numbers and $100 billion start to close. Is there more limit left under those that could go against you?
Kevin O’Donnell: So, yes, there is more limit left under some of those aggregates. I wouldn’t point to those as being particularly exposed to a change in the gross loss. I think, we went through our normal process of a top down analysis to estimate the losses, as well as the bottom up. So each of those aggregate contracts have been looked at individually and we came up with our best estimates. Often, our best estimate is significantly higher than the customer’s reporting loss at this time. So I don’t think, we have uniquely different exposure to those than we do to the occurrence losses within each of the events.
Ian Gutterman: Got it. And are those for named storms only, or could the wildfires also get you in some of those contracts?
Kevin O’Donnell: The wildfires – those contracts can respond to the wildfires as well. So net – this is more of a detail point. But one of the reasons that we do not include the aggregates and separate them out is as new loss events occur, you can kind of forget time and then take all the events over the contract life and a portion of the loss to them forgetting that there’s an occurrence retention.
Ian Gutterman: Right.
Kevin O’Donnell: So if subsequent events can happen, it can actually go back and adjust previous events to be lower, because some of them needs to be moved to the new event.
Ian Gutterman: Yes.
Kevin O’Donnell: So that could artificially build in favorable development if they’re not disclosed separately and continue to be allocated to the events.
Ian Gutterman: That makes sense. So on the top line, I think Mitchell asked, it’s just a follow-up to the idea that, there seem to be a lot of missing losses. And yes, I know that’s always the case, but it seems much more dramatic on this one, right? I mean, arguably half losses are missing.
Kevin O’Donnell: Yes.
Ian Gutterman: Are there things that you see, obviously, you can see how other people are picking numbers maybe some of your clients who are telling you what they expect. But is there a sense you have for what’s different? Is it that reporting were coming in slower and maybe in the past, there was a heavier aspect of reported and that got us closer in this time you need to sort of put up more IBNR, because the reporters are slow, or I was trying to get sort of a decent story. I guess, I get to hear one for while you have such a big gap?
Kevin O’Donnell: Let me touch on each of the events and I’ll get kind of an overall perspective. If we take Irma, Irma is kind of the most traditional of the cats. It’s broad coverage and reasonably modest losses. So it’s much more of a traditional type assessment as to what the loss will be. As I mentioned in my comments, I think with the Mexican earthquake, it’s probably a little smaller than what was initially expected. And I think we have – our scientists believe that there is a higher chance because of where the main Mexico City earthquake occurred, that liquefaction could play a role that always takes longer to report. Harvey is again much more of a flood event as we all know. I think the thing with Harvey to watch is to see if there are kind of large risk losses that emerge from Harvey that’s probably been a little slower than expected, I’m not saying some of those major risk losses emerge. And then Maria is just a tricky one. So I think of all the ones where there is the potential for the biggest disconnect between what’s ultimately recognized on balance sheets and what’s reported so far it’s probably Maria for the reasons I mentioned earlier. So I think additionally when there is this many events in a quarter, it is very complicated to come up with a net risk exposure, so even for us across the events our retro programs are largely shared. So as – when first Harvey happened you put your retro allocation against that. Once Irma happened then you are feeling an optimization between two Mexico, Maria, you’re doing optimization across four. So I think as thinking about it with the net number reported and then having this many events there is going to be a lot of movement potentially between the net numbers, but not necessarily as much on the growth depending on how the ceded allocations are distributed.
Ian Gutterman: That makes sense, that makes sense. So if I can throw hypothetical and let’s say that you guys are being conservative and everyone else is being as accurate as normal and therefore the industry loss is just a lot less than we think. Let’s say it comes in at, it’s only 50 to 60, not 90 to 100, does that tell us anything about the cat models, is it possible the cat models just are over – just like we’ve gotten used to them under estimating most events, maybe they have actually overestimated all three of these events and we need to have sort of the opposite of five where the cat models went up, now the cat models need to go down. Is there anything indicating that?
Kevin O’Donnell: I think of the cat models different than the cat modeling firms making an estimate of the industry loss.
Ian Gutterman: Okay.
Kevin O’Donnell: So when I – when we talked about return periods for these events, that’s us going into our model, making an assessment as to what we think the loss is and then putting a return period on it. We think that’s reasonably accurate. We may have the industry loss wrong, but the return periods to industry loss ratio will be right. So I think they were assessing the loss and even just take the wildfires. There’s a big difference between what AR is reporting and what RMS is reporting, which I think is interesting knowing that, California is a pretty thoroughly model state. I think, one needs to separate their estimate of the insured loss to the precision one can extract from property using the model.
Ian Gutterman: Got it. Okay. And then just last one real quick is, I know I’m not going to probably get you to change your disclosure on P&L’s or cat losses or things like that. But if I can maybe ask in a more simpler way as a proxy, if I were to look at your last 10 years cats, and just add them up and divide by 10, as a percent of your EP or capital or whatever, is the last 10 years unrepresentative of what you would expect for the next 10? I know, the book only shifts and you maybe buying more retro less, or this or that. But is that a reasonable starting point for us, or is there something you say, no, that’s just a terrible way to do it?
Kevin O’Donnell: I’ve never done that.
Ian Gutterman: Okay.
Kevin O’Donnell: So take a look at it. I think of just very simply, much of the risk we write has a expected loss lower than 10. So you would need a longer timeline in order to have a better understanding as to how the book is exposed. So if I were to think about it, kind of doing what I would call a burning cost model to understand the cat book, it – I would tend to buy myself to a much more sarcastic approach using a much more robust event set in longer timeframes.
Ian Gutterman: Of course, I’m just trying to use something that I have access to, but I understand. All right. Thank you thank you for the answers.
Kevin O’Donnell: Okay, thanks.
Robert Qutub: Thanks, Ian.
Operator: And this concludes our question-and-answer session. I’ll turn the call back over to Kevin O’Donnell.
Kevin O’Donnell: Thank you very much for your attention and for your participation in the call. We hope that you found it informative and we look forward to speaking to you after the quarter close. Thank you.
Operator: And this concludes today’s conference call. You may now disconnect.